Operator: Ladies and gentlemen, good morning, and welcome to the Advantage Solutions' Second Quarter 2023 Earnings Call. Today's call is being recorded, and we have allocated one hour for prepared remarks and Q&A. At this time, I'd like to turn the conference over to Sean Choksi, Investor Relations and Strategy for Advantage. Thank you, and you may begin, sir. 
Sean Choksi : Thank you operator, and thank you everyone for joining us on Advantage Solutions second quarter 2023 earnings conference call. On the call with me today are Dave Peacock, Chief Executive Officer; and Chris Growe, Chief Financial Officer. After their prepared remarks, we will open the call for a question-and-answer session. During this call, management may make forward-looking statements within the meaning of the federal securities laws. These statements are based on management's current expectations and involve assumptions, risks and uncertainties that are difficult to predict. Actual outcomes and results could differ materially due to a number of factors, including those described more fully in the company's annual report on Form 10-K filed with the SEC. All forward-looking statements are expressly qualified in their entirety by such factors. The company does not undertake any duty to update or revise any forward-looking statements except as required by law. Please note management's remarks today will highlight certain non-GAAP financial measures. Our earnings release, which was issued earlier today, presents reconciliations of these non-GAAP financial measures to the most comparable GAAP measures. This call is being webcast. And a recording of this call will also be available on the company's website. And now, I'd like to turn the call over to Advantage's CEO, Dave Peacock.
Dave Peacock: Thanks, Sean. Good morning, everyone, and thank you for joining us. I want to start by thanking everyone on the Advantage team for their hard work this past quarter. I've continued to spend time in the market connecting with many of our team members and remain impressed by their care for one another commitment to service excellence, and passion for strengthening relationships and results as evident in the positive feedback I have constantly heard from our brand and retail partners, and our solid performance for the quarter. I'm pleased to report another consecutive quarter of improving company performance. Together, we delivered $1 billion in revenue, an increase of 5.7% year-over-year, and adjusted EBITDA of $104 million. Furthermore, we continue to make strides on cash flow performance, which Chris will provide more color on in his remarks. Our executive leadership team continues to fortify the strategy, we're building together to maximize the company's full potential and position the business for long-term profitable growth. As part of this strategy, we are investing both time and money behind technology modernization and best-in-class talent management initiatives, which include building a more diverse leadership team, reflective of our broader workforce and creating a more inclusive organization for all teammates. The intent is to strengthen our culture, simplify our operations, improve our financial discipline, and enhance our processes as a unified company to deliver more value to our stakeholders. Advantage holds a unique position at the intersection of brands and retailers with extensive reach and breadth of services spanning the entire purchase path. We are a market leader in terms of operational scale with more than 4,000 clients across 17 trade channels in most of the largest U.S. grocery and several big-box retailers partnering with Advantage to serve as their exclusive in-store experiential partner. It's a competitive position that gives us critical insights and a strategic perspective on today's shoppers. Being at this vantage point, we arguably know more about shopper expectations and demands than any company in the industry. We regularly leverage this knowledge and expertise to both inform and help achieve our clients' goals, including how best to play and where to pivot to optimize performance. In doing so, we also make consumers' lives easier. For example, we conduct a quarterly survey among dozens of brand manufacturers and retailers to gain robust data on marketplace trends, emerging dynamics in the macro operating outlook over the next six to 12 months. These surveys are packed with valuable unvarnished insights that are unmatched in the industry. Advantage's latest outlook report, which will release publicly in the weeks ahead reveals several trends that continue to drive demand for Advantage's services, while complementing our deep expertise, relentless execution and trusted relationships in the industry. For starters, in-store labor for retailers is critical. Retailers continue to face labor shortage challenges. In fact, lack of in-store labor and planogram oversight are the top two factors affecting on-shelf availability. Moving forward, retailers plan to increase self-checkout and reduce in-store labor with many saying that we'll use third-party relationships to combat the labor issue. Additionally, product innovation is a top priority for both manufacturers and retailers. Nearly every CPG manufacturer in our study says they are targeting innovation at mainstream or premium-priced products with a heavy focus on health and wellness, and more than half indicate they are focusing on app and in-home indulgences indicating a bullish outlook on consumer appetite for premium items. . Manufacturers' current and future focus on innovation is well timed since the majority of retailers expect to increase their acceptance of innovation and will accept new item cut-ins outside of a reset window. We expect more manufacturers to consider retail exclusives with early innovation launches. We will share the full slate of industry-leading insights, when we release the next Advantage outlook later this month. During the second quarter, we continued to realize revenue gains in cases where we believe the value of our services were not yet fully realized, as well as areas where incremental labor cost inflation necessitated increases in pricing. Across our businesses, we are experiencing labor cost inflation at mid-single digits consistent with the market, and moderating relative to prior year. While we continue to see the benefit from price increases, it's important to remember that these initiatives take time. We expect to see these changes, as the year progresses and fully anticipate better revenue management reflected in margin improvements. We also are focused on driving efficiency in our business, recognizing the need to deliver services in a way that is more precise and generates a greater yield, on the time and cost expended. Additionally, we are sharpening our focus on more effective cash generation. In the second quarter, our executive leadership team has continued to drive change and we're making sequential progress as our results suggest. On a year-to-date basis, Advantage generated approximately $188 million of adjusted unlevered free cash flow, representing a significant increase versus the prior year, driven by solid improvement in working capital. We had approximately 1,000 net new hires in the quarter, which has supported continued improvements in our sampling and demonstration business. Event counts are up 24% year-over-year, reaching approximately 78% of comparable 2019 levels, and we expect to further close the gap over the next few quarters. Relatedly, we reduced turnover across our enterprise, by an additional 10% quarter-over-quarter with significant improvements in our part-time retention rates. We will continue to refine our talent practices, to strengthen retention in the future, which should allow us to provide better service to our brand and retail partners, enhance volumes and limit talent acquisition and training costs. Given our sheer breadth and scale as exemplified by our 75,000-plus associates and 100 million hours of annual service, we continue to regularly identify operational enhancements and levers by which we can simplify our service offerings, while driving performance. Our team is energized for this challenge and is invigorated by the opportunities that we see for this business. At the end of the day, we're happy to be an organization that supports a sticky fragmented customer base, and is anchored in two long-term secular growth industries in CPG and retail.  With that, I'll turn it over to Chris for more on our financial performance and outlook. 
Chris Growe: Thank you, Dave. I continue to grow increasingly confident in our ability to strategically position this business for long-term success and deliver value to all stakeholders. Now let's get into the performance for the quarter. On a consolidated basis, second quarter revenue grew 5.7% year-over-year to total $1 billion. Excluding unfavorable foreign exchange rates, and acquisitions and divestitures, revenues increased by 7.7%. Second quarter adjusted EBITDA declined 3.8% year-over-year to $104 million. Sales segment revenues of $600 million decreased 0.7% year-over-year, but were up 1.8% excluding foreign exchange and acquisitions and divestitures. Sales segment adjusted EBITDA of $64 million declined 11.3% year-over-year. The revenue decline was driven by our completed divestiture and intentional client exit, partially offset by growth in retail and merchandising services, success in our pricing initiatives and growth in our European joint venture. The decline in adjusted EBITDA in the sales segment, is largely a result of mix shift toward lower-margin business services, as we discussed on prior earnings calls, inflationary pressures and the completed divestiture. Marketing segment revenues of $437 million were up 16% year-over-year, and up 17.1% excluding foreign exchange and acquisitions and divestitures. This growth was primarily driven by the continued return of our in-store sampling, and demonstration services to higher event counts, as well as pricing realization in this business, with digital services starting to show signs of stabilization. Marketing segment adjusted EBITDA of $41 million was up 10.8% year-over-year, driven largely by the aforementioned, return to sampling and demonstration events and pricing realization. In the aggregate, the adjusted EBITDA margin came in at 10% down 100 basis points year-over-year, marking an improvement in trajectory from Q1's approximately 150-basis-point year-over-year compression. Let's move on to discuss some balance sheet items. Our net debt to adjusted EBITDA finished the second quarter, at approximately 4.3 times. We will continue to explore opportunities to delever our balance sheet and reduce our leverage ratio over time. For the second quarter, we achieved adjusted unlevered free cash flow conversion of approximately 114% of adjusted EBITDA, reflecting continued emphasis on optimizing working capital. In line with the prior quarter, our debt profile remains healthy and with no meaningful maturities in the next four years. At the end of the second quarter, our total funded debt outstanding continued to be approximately $2 billion. We've doubled down on our initiatives to stabilize our balance sheet and protect against future interest rate risk. During the quarter, we voluntarily repurchased $52 million of floating rate debt at an attractive discount and we'll continue to monitor opportunities to deploy capital that deleverages the balance sheet while generating a favorable rate of return. As of June, approximately 85% of our debt is hedged or at a fixed interest rate. A summary of our debt and equity capitalization can be found on Slide five, in the supplementary slides for the second quarter results posted on the Investors section of our website. Turning to our outlook. For the full year 2023, we are reconfirming adjusted EBITDA in the range of $400 million to $420 million. Our guidance contemplates the continued realization of pricing, growth of in-store sampling and demonstration events, as well as the divestiture that closed early in the second quarter and the accelerated investments behind technology and talent. We remain diligent with regards to revenue management, our cost structure and our cash generation, as we continue to strengthen our financial discipline to help fuel growth. Thank you for your time. I'll now turn it back to Dave.
Dave Peacock: Thanks, Chris. We're pleased with the progress, but continue to acknowledge that there remains a lot of work to be done. I am confident in the leaders of our company, both new and legacy who continue to work towards enhancing our people-powered culture, optimizing our operations and serving our brand and retail partners. The people of Advantage have done tremendous work growing the company to what it is today. We have more than 75,000 associates who wake up every day with a focus on serving on behalf of the brands we represent and for the retailers where they work. It's our job to enable their efforts and to help them also realize their personal goals, so that we become the employer of choice for them and others. Our collective success requires us to have a workforce that reflects the communities where we live and work. We are committed to improving representation and belonging through our diversity and inclusion efforts, as we also bring more fresh perspectives to how we deliver innovative solutions for our brand and retail partners. With the passion and commitment to growth that I see on a daily basis, I'm confident in the company we're continuing to build, as we pave the path to sustainable long-term growth. We'll now take your questions. Operator?
Operator: Thank you. Ladies and gentlemen, we will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Greg Parrish with Morgan Stanley. Please go ahead.
Greg Parrish: Great. Good morning and congratulations on the results. I just want to talk about margin, clearly, some improvement from first quarter to second quarter here. So, is this level here the right way to think about the back half? And I know you talked about continued realization of pricing. So, does some of that come through? Does second half get a little bit better? And then, this is way too early understandably, but I just wanted to potentially talk about 2024 and margin level. I don't know if you have any thoughts there. That would be helpful too.
Dave Peacock: Thanks, Greg. Yes, this is Dave. Look, we were first very pleased by our second quarter results and really want to acknowledge our team for stepping up and doing a great job. You're exactly right. We saw a little bit of margin improvement. We're seeing better pricing flow through. In fact, year-to-date of our organic growth, pricing is just under one-third of it and we'll probably continue to see pricing improvements in the second half. We do envision margins being a bit better in the second half. And a combination of factors are driving that. Obviously, some of the revenue the pricing side and then obviously just the general mix of performance within the business. And as it relates to '24, it is early. We -- Chris, a fairly new management team, while I've been around six months. A lot of the team members including Chris sitting here are less than that. So we want to make sure, we have full visibility and understanding of the business before we put any guidance out to '24.
Greg Parrish: Great. And then sort of a similar question on cadence first half, second half. Thinking about the free cash flow conversion, again strong in the first half, how do we think about that in the second half? Do some of that reverse a little bit?
Dave Peacock: Yes, I think as we look at unlevered free cash flow, we're sort of seeing it probably being a good level that can think about is like 65% plus on a sustaining basis. So you're going to see -- potentially a little bit less in the second half could be just as good. The team has done a phenomenal job and I know -- Chris make a few comments, but I want to acknowledge him and his team for really finding creative ways to as I call it bring more cash out of the business and get more cash yield out of our activities. So, as that continues and we are kind of pulling every lever, we're optimistic about the second half.
Chris Growe: And just to add to that Greg, Dave said it well. In the second half, just to keep in mind, we talked about investments. There are real investments that are occurring here especially in tech. And so I think we want to just keep that in mind as part of our outlook for the second half of the year, therefore on our cash conversion. But I think at the same time, there's an intense focus -- well, I know there is intense focus internally on working capital. So, I think if we can continue to make some progress there, I hope we can do a little better than that, but I think that 65% plus is a good average. It's right at let's call it 100% in the first half of the year, again, working capital being the key driver there. I hope to continue that. And if we do, I hope we can generate even more cash in the second half of the year.
Greg Parrish: Okay. Great. And then I was going to slip in one more. Any updates to your strategic review and sort of assets that you're looking at? And then maybe to get a little bit more specific, because this has been coming up, but thinking about marketing specifically the sampling business and why that fit. And I understand I think when Daymon was bought there was a real rationale for a large retail -- a large retailer-preferred provider. But as you're sitting here and there's clearly some opportunities to pay down debt like does -- why does the sampling business really fit with sales? If you could kind of walk us through that?
Dave Peacock: No, Greg. Appreciate that. Yeah, I think as we get into our November meeting, we'll talk a little bit about where we're headed from a strategic standpoint and then even more so as we get into early next year. I'd like to let our actions speak for us and our results more importantly. And so you can see already and again, it's very early for the team where we're focused and how we're trying to bring discipline around cash generation and paying down debt and getting our balance sheet in a good spot. And we're very pleased with the results thus far. Now the sampling business or demonstration business, it's interesting. It's a good business in the sense that there is a certain level of consistency and demand for that type of service especially when you see 98% plus of manufacturers really dialing up innovation and some of those are doing so in a significant way and you're finding retailers more receptive to innovation. And you compound that with the fact that you're seeing private label grow at about half of share point if you will total store. Private labels are often in many retailers part of what you're sampling. So we've seen consistency in demand and it's a business for us that from a kind of working capital or cash flow standpoint is also a good one. But that's as far as I'm going to go as it relates to talking about anything related to our strategic review, but we remain bullish on the demonstration business and see opportunity both for growth and a little bit of better margin realization.
Greg Parrish: All right. Very helpful. Congrats on our results. Happy Friday.
Dave Peacock: Thank you.
Operator: Thank you. Our next question comes from the line of Jason English with Goldman Sachs. Please go ahead.
Dave Peacock: Hey, Jason.
Jason English: Hey, guys. Hey, sorry for the delay. Good morning, everyone. Thank you for having me in for the question. A couple of quick questions. You mentioned that retailers are still facing really tight labor conditions. Are you still facing really tight labor conditions? And does this remain a gating factor in terms of how quickly you can recover your sampling business? 
Dave Peacock: We're seeing a continued tight labor market, but you saw that we're seeing pretty strong net new hires. We are I think over 75,000 teammates now. So we've seen that slowly build back obviously in the last year or so. We saw turnover down 10%. And that's actually really important. I mean for us the more we can retain -- and if you can imagine in some of these businesses, we had had people serving for a long time and then the pandemic hit and some of those businesses virtually shut down. So it's rebuilding that. But the good news is we've had a successful track record of retaining people and we want to continue to leverage that. And we have a lot of talent management efforts underway to give people as many opportunities as possible to advance within the company which is one of the key enablers to retention. But it is -- I won't sugarcoat it. It's still a tight market. You saw the unemployment was down to 3.5%. The US added another 200,000 plus jobs in the report that came out today. So it's one we see worth watching, but we're pleased with our retention rate so far.
Jason English: Okay. So on the marketing and the sampling side, are you back to Brighton? Should we take the run rate you have here and say this is a reasonable run rate going forward, you're back to the level of sampling that the markets come to with you're able to supply the sampling there's no real further ramp on that one? 
Dave Peacock: No. We think there's still a gap to close. And part -- it's a combination of factors. Some of it is supply-based as far as the supply chains and product availability especially when you're dealing with new or innovative items. Some of it is personnel. And so we continue especially in regional pockets if you will. Southeast is a little tighter as it relates to labor than a lot of other parts of the country as an example. And then some obviously is just some of our customers getting those programs back even still post-COVID and going within their stores as they assess their strategy going forward. So there's a number of factors, but we do see continued growth and gap closing as it relates to event count. 
Chris Growe: Jason just to add to that we're a little less than 80% of where we were in 2019. And I think we're going to continue to see each quarter just a sequential improvement sort of a few percentage points and just keep plotting our way back to that 2019 level and evidence so far this year would indicate that each month we're seeing that sequentially improve. So I think that should continue.
Jason English: Thank you. I appreciate the numbers there Chris. I know they're always helpful. Two more questions for me. You -- it's great to see you stabilize your margins. I know your aspirations are not to stabilize, but to restore margins, which would appear to be requisite on further pricing actions to not only kind of cover the ongoing labor inflation but catch up with the stuff that you fell behind on. In light of the inflationary environment more holistically and the fact that retailers are becoming much less accommodative for price increases because they see the cost pressures not as widespread and manufacturers, I suspect aren't going to be as disciplined as they always are in terms of trying to fight that how is that impacting your ability to price whether we're talking about this year or next year like the forward? How does that evolving environment influence your pricing power? 
Dave Peacock: Yeah. As I mentioned before, a little under a-third of our organic growth year-to-date has come from price. And where we need to have those conversations and everybody is obviously aware of labor inflation, I think those conversations have gone well. We look at our retailer and CPG customers really as partners. And we talk a lot about that and that's how they refer to us. And so in that spirit of partnership, we have to share the fact that we are dealing with cost escalation. At the same time, it's incumbent upon us to realize the value proposition for the need relative to what we're doing. And I mentioned for example with demonstration what you see with a lot of the innovation and private-label growth, private-label obviously is a business that we're steeped in from the legacy Daymon side, and we're seeing opportunity with that business as well. And even the merchandising, we're doing for retailers things like resets are a bit in higher demand because you're seeing a little more higher -- a little higher interest in cutting in between reset windows. You're seeing with the innovation growth a lot of need to reset. So the demand for the business is there. And whenever you have demand and then you've got real cost pressures usually you can have a rational conversation relative to price. 
Jason English: Okay. And yes that makes sense in terms of the cut-ins and the merchandise interest with all the CPG companies the same in innovation. The other side of the sales equation you do have a commission-based business. And as we look across the branded landscape volumes have been exceptionally soft, and we'll quickly be at a point where price is de minimis if not negative for some categories. What is the -- that seems to have --- those seem to have a negative expectation for the commission side of your business. What is your outlook there? And if you can remind us how big that is in context of your overall sales segment? 
Dave Peacock: Yeah. Commission side to be as much as about 25%. So we've got other contracts in place that are not commission-based. And look you obviously have to negotiate those commission rates, as well in light of the activities we're performing in the market and the same inflationary pressures that we're facing. So we still have some opportunities there. And from an aggregate as you zoom out what we do and the services we provide from a total of someone's cost of goods sold can be pretty small. And so when you look at their margins for instance some of the pricing actions probably have pretty minimal impact. But yes, we are seeing volumes the same thing you're seeing Jason in the market slip for a lot of the manufacturers and the desire to get increased traffic and increased volume. And I think that increased volume leads to a lot more out-of-aisle merchandising opportunities, which plays into one of our strengths as well as what we do both for CPGs and for retailers. So it does create more demand for what we're doing and an opportunity to continue to grow our business.
Jason English: Understood. Thanks, guys. Thank you for your time. I'll pass it on.
Dave Peacock: Thanks, Jason.
Operator: Thank you. As there are no further questions, I would now hand the conference over to Dave Peacock Chief Executive Officer for closing comments. 
Dave Peacock: Thanks a lot guys. Look, it was a quarter that we're pleased with. At the same time, we're never satisfied with our results. So we remain committed to focusing on those things that can get us to getting a balance sheet where we're much more in a stronger position relative to our debt. And look the future for our business is bright. We've talked about some of the things through the Q&A that we feel are helping drive demand and create some tailwinds. So we remain optimistic and again really appreciative of the great work our team did in the last three months. 
Operator: Thank you. The conference of Advantage Solutions has now concluded. Thank you for your participation. You may now disconnect your lines.